Operator: Good morning ladies and gentlemen and thank you for standing by. Welcome to Yamana Gold’s fourth quarter and year-end 2007 earnings conference call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time. This conference call will contain forward-looking statements that involve a number of risks and uncertainties. Forward-looking statements include but are not limited to statements with respect to the estimation of mineral reserves and resources, the timing and amount of estimated future production, costs of production, capital expenditures, future price of gold and copper and timing of the development of new deposits, success of exploration activities, permitting timelines, currency exchange rate fluctuations, requirements for additional capital, government regulation of mining operations and environmental risks. Forward-looking statements are based on the opinion and estimates of management as of the date such statements are made. Risk factors are discussed or referred to in the company’s management discussion and analysis of operations and financial conditions in annual information form. Although the company has attempted to identify important factors that could cause actual actions, events or results to differ materially from those described in the forward-looking statements there may be other factors that cause actions, events or results not to be anticipated, estimated or intended. There can be no assurance that forward-looking statements will prove to be accurate as actual results and future events could differ materially from those anticipated in such statements. The company undertakes no obligation to update forward-looking statements if circumstances or management’s estimates or opinions should change. Accordingly, participants are cautioned not to place undue reliance on forward-looking statements. I would also like to remind everyone that this conference call is being recorded and will be available for replay today at 1:00 pm Eastern Standard Time. The replay number is 416-695-5800 or toll free 1-800-408-3053, both with the pass codes 3249602 followed by the pound sign. I will now turn the conference over to Mr. Peter Marrone, Chairman and CEO. Please go ahead, sir.
Peter Marrone: Good morning and thank you for the introduction and your attendance gentlemen and ladies. Today I'm here to provide you with a brief overview of the significant achievements we have accomplished last year and early into this year. I will then turn the call over to Chuck who will provide our fourth quarter and year end financial results. Our format this year will be a bit different. We are a high growth company as you have heard us say before and that company continues to deliver on our strategic plan and in that respect it’s important to highlight as part of our discussion on financial performance how we are advancing our efforts on operations, development and exploration in general; and then, driving results under our strategic plan that we announced last October. More specifically, largely driving feature rather than historical financial performance. So with us today in addition to Chuck are Antenor Silva who is our President and Chief Operating Officer, Ludovica Costa who is our Senior Vice President of Operations and Darcy Marud who is our Senior Vice President of Exploration. Each of them will provide an update on their respective areas once Chuck has given us an overview of the financial results that we reported on last night. Last year we successfully completed the acquisition and integration of Meridian and Northern Orion, a combination that is well aligned with our strategic acquisition strategy. The assets complement our existing portfolio as we remain focused in the Americas and in regions friendly to mining and with mining pedigrees, with strong infrastructure and comparatively low costs. More importantly it is consistent with our view that in the current environment of significantly escalating capital costs, particularly for projects that are infrastructure challenged, it is more prudent to purchase existing assets that are already in production to increase existing production and to develop more modest development stage projects. The acquisition of Meridian and Northern Orion expands Yamana’s portfolio and has allowed Yamana to become the premier gold producer in terms of production comparatively low cash costs and growth in production, cash flow and earnings. The fourth quarter for us, ladies and gentleman, was a transition quarter focusing on the integration of Meridian and Northern Orion and we continue to commit and execute on our strategic plan that we announced as I mentioned last October of last year and that evidence is the solid historical performance but more importantly the performance to follow. We produced over 1 million gold equivalent ounces last year which gives us the platform for the 1.3 million gold equivalent ounces in 2008, increasing to $1.6 million ounces the year after that in 2009 and then our target of a sustainable level of production of $2.2 million ounces in 2012. As well, we continued to prove our ability to contain costs as we again maintained industry low cash costs for the year both before and after byproduct credits. Now not all of our mines are low cost producers, although our core, more dominant mines drive what are comparatively low costs. This is a commendable achievement in my view given the current environment in the industry for escalating costs. This in addition to operating in a world of robust commodity prices supports our strategy to grow cash flow and earnings. This is further providing significant growth upside, sustainability and value. Starting this year with a strong cash position, cash and short-term investments of approximately $230 million, which is supplemented by two tranches of deep in the money warrants that come due this year expecting to bring into the treasury of this company an additional $120 million in cash flow. We are fully funded to fulfill our commitment on continued investment in our current operation as well as into our diverse development and exploration portfolios. We have committed $575 million this year in our capital budget which includes $84 million dedicated to exploration which Darcy will elaborate on in more detail shortly and this is very manageable on the basis of our cash reserves and on the basis of our cash flow. Now with seven operating mines and five development projects and numerous exploration projects and initiatives 2008 and the years that follow will continue to be dynamic. Already earlier this year we announced three notable achievements that were part of the strategic plan that we announced in October. We are delivering on those promises. Our positive feasibility study for C1 Santa Luz in Brazil, further definition of the potential of the three areas of mineralization at Gualcamayo in Argentina and the expansion at Al Este and El Peñón, in Chile coupled with the discovery of two high grade veins, Bonanza and Esmeralda. I should highlight that after more than ten years into the mine life at El Peñón, one of the highest grade veins in the history of El Peñón, Bonanza to be discovered only last year is a testament to the quality of that mine and why we pursued as vigorously as we did the purchase of Meridian. This is a top draw mine, one of the best in the world in my view. As only a quarter of the surrounding area has been explored, you can appreciate why we believe that El Peñón represents significant upside potential. We have delivered on our promise of a resource estimate for QDD Lower West and for Mercedes, our first resource estimate for Mercedes in Mexico. The former supports our efforts at taking Gualcamayo to sustainable production level above our 300,000 ounces of gold per year. The latter continues to give us the confidence of a multimillion ounce resource expectation as Darcy will speak to. Building on our solid 2007 performance, I am pleased to announce that we started the year positively. For the first quarter of this year, we expect to produce approximately 220,000 ounces of gold and gold equivalent. We also expect to produce approximately 30 million pounds of copper in the quarter and this is in line with our budget expectations for this first quarter and is on track for our 2008 gold equivalent production expectations. We noted in our guidance in January that our production would increase quarter-over-quarter. We remain financially and operationally sound with year-over-year and quarter-over-quarter growth and now we continue to deliver and to build on that strategic plan. Today, we have elaborated on a mine plan that would advance our target production at El Peñón to 500,000 ounces of gold and gold equivalent this year. We have taken this mine from 340,000 ounces gold equivalent in 2006, that is the year before we acquired Meridian last year to a planned 425,000 ounces which was our guidance in January and now we can say to you that we will be increasing the annual production by the end of this year to 500,000 ounces of gold and gold equivalent which is almost one year ahead of schedule, one year ahead of where we said we would be in October last year. With sufficient reserves and resources, multiple high grade veins, the availability of planned capacity, we are now targeting a production rate of 470,000 ounces this year based on that annualized 500,000 ounces in the fourth quarter. This represents an increase of approximately 38% to 2006 and 11% to our previous guidance in January and more importantly, our operations and technical services teams have advanced the mine planned for production of over 600,000 ounces by 2010 representing a full 76% increase over the 2006 production level at El Peñón and this is sustainable and that’s important. With sufficient reserves and resources and the experience that is there at El Peñón for the conversion of resources to reserves, we are confident of a sustainable production at these escalated levels for at least a 10-year period. The technical planned capacity requirements had been evaluated and now we are accelerating the development of Bonanza and Al Este for the required ore feed that will take us to that production level of 600,000 ounces. In addition to that we have developed a plan that would see the increase of production of at Chapada doubling the throughput by 2010. Sufficient resources allow us to increase that throughput to over $30 million tons of ore per year meaning a sustainable production level of approximately 130,000 ounces of gold and 190 million pounds of copper per year over the next eight years, now that is an average. More importantly is that it would be fund and loaded with higher production levels in this average in the first three years. We have developed a plan to recover gold and copper from the tailings at Chapada and in addition to that produce sulphuric acid in that process. We have also developed a plan to process the oxide material at Chapada which is roughly 6 million tons that would be part of that same process. This would increase our gold and copper production at Chapada in addition to the increase from the throughput increase that I mentioned a few moments ago and would also allow us to receive revenue from sulphuric acid or sulphur that is in our pyrite, that is in the tailings at Chapada and I must emphasize that we are in a very robust market for fertilizer today and sulphuric acid will be an important component of our fertilizer business. We continue with our expansions at Jacobina and Minera Florida and further more in the near term in addition to what we have delivered as of now, on a go forward basis we expect to announce resources estimates at La Pepa, Jeronima and Amancaya in the first half of 2008, so in the quarter that we will be in the second quarter of this year. An update to the resources to El Penon based on ongoing drilling results and the promised feasibility study at Mercedes and the update to Gualcamayo relating to QDD Lower West by the end of the year. We plan to begin production at Gualcamayo in the second half of this year as we have originally undertaken to do and Sao Vicente in the fourth quarter. As you can see we are demonstrating on our ability to deliver on the promises and return value to shareholders. With that as a back drop and introduction I would like to turn it to Chuck who will discuss the fourth quarter and the year end financial results.
Chuck Main: Thank you, Peter. This has been a transformative year for Yamana having completed the combination of Northern Orion and Meridian and it should being noted that this has impacted the financial statements in various ways. Total consideration for the transaction was $4.8 billion. Yamana issued $310 million new shares and paid $726 million in cash. This was funded by a $400 million term credit facility and a $300 million revolving line of credit facility with the remaining balance funded from existing cash. That Meridian acquisition was accounted for as a multi-stage acquisition with minority interest expense net of tax of $2 million including the earnings of Meridian from October 12 until the 100% increase was earned. The acquisition steps and inclusion in earnings for accounting purposes was 66% from October 12 and now was increased to 76% from October 19, 88% from November 5 and then of course we had 100% as of December 31. It should be noted that earnings and adjusted earnings and adjusted earnings do not include the full quarter of results relating to the acquired mines. The results of operations in Northern Orion were included in Yamana’s consolidated financial statements as at October 13. I will talk a little bit later about the purchase price allocations. Production from all our mines this year on a pro forma basis was 1 million gold equivalent ounces or GEO including pre-acquisition production. Total production for the company excluding pre-acquisition production but including Alumbrera was approximately 600,000 GEO, an increase of 92% compared to last year. This was largely driven by Chapada commencing production in February 2007 and a 31% increase in the total production at Sao Francisco. Chapada produced 123 million pounds of copper this year. Average cash cost after by-product credits were negative of $182 per gold equivalent ounce for the year and negative $9 for the quarter. On a co-product basis average cash cost for the year were sustained at $330 per gold equivalent ounce. This year has been another record-breaking year including new production, revenue, earnings, and cash flow records. Annual revenue rose 342% to three quarters of $1 billion with fourth quarter revenue increasing 9% compared to third quarter to $219 million. Revenue gains were largely driven by higher sales volumes of 532,000 ounces of gold and in addition there was copper sales of 117 million payable pounds from Chapada and another 13 million pounds from Alumbrera. And there was an increase in both the copper and gold price over the prior year. Net earnings increased to $157 million compared to a loss of $70 million in 2006. On an adjusted basis and before any income tax effects, earnings were up a significant 500% to $259 million. It should be noted that the gold production was up 92% over the prior year, adjusted earnings increases 1000%. Fourth quarter net earnings increased 57% to $47 million compared to the third quarter this year and 667% from the comparative quarter last year. On a per share basis, basic earnings were $0.38 per share, a 52% increase from last year. This is despite a one-time internal cost relating to the Meridian and Northern Orion transaction which includes $16 million in G&A. Going forward and given the size of our company we expect $60 million to $70 million in G&A per year going forward. Adjusting for these one-time transaction related costs as well as other nonrecurring items such as foreign exchange and derivative impact, earnings were $0.55 per share versus $0.07 in the prior year. Gains in earnings is largely driven by the significant increase in mine operating earnings which have come in at $385 million this year versus only $35 million in 2006, representing a ten-fold increase. This is the result of commercial production beginning at Chapada and Sao Francisco and the acquisition of El Penon and Minera Florida mines. Our operating margin percentage was 61% compared to 41% in 2006 and 35% in 2005. Although we have experienced upward pressure on operating cost and strengthening in the currencies in the countries that we operate we have still been able to increase our operating margin. This has allowed us to achieve significantly higher levels of earnings and operating cash flow. A couple of other comments on the income statement including the recovery of sill pillar cost during the quarter. The sill pillar expense at Jacobina during the quarter was fully recovered in the fourth quarter with the receipt of insurance proceeds of $14 million. This was a personal settlement with up to an additional $13 million expected in 2008. Any additional insurance proceeds in 2008 will be recorded when received. For the year ended 2007 there were realized and unrealized losses of $46 million on our copper hedges due to strong copper prices. This has been more than offset by higher revenue realized due to the higher price. This is interesting for the fourth quarter when the copper price declined and negatively impacted fourth quarter results relative to third quarter by approximately $60 million representing $0.10 a share. We have positive market-to-market gain under corporate hedges of $50 million. The Q4 market-to-market gain of $50 million has been deducted in arriving at adjusted earnings. Therefore adjusted earnings do not reflect the benefit of this unrealized gain in Q4. Of the $60 million impact I just mentioned approximately $35 million relates to the impact of lower corporate prices on Q3 receivables. The sales concentrate agreement provides for provisional payments within a quarter but generally the final pricing is done two to three months after shipment. This causes a delay in the impact of copper price movement to the subsequent quarter. The production of the copper hedge position against decline in copper price was clearly demonstrated during the fourth quarter. The hedging program continued to meet its objectives with a net benefit of approximately $815 million for the year. As this program is accounted for as the hedge the majority of this was credited through other comprehensive income. The overall tax expenses 29% of pre-tax income. Non-operating foreign exchange losses had an impact of increasing our tax rate by 5.6%. Our overall tax rate for operating units is approximately 25% and we are experiencing some increases to this as a result of non-operating items therefore we expect an ongoing tax rate of between 25% to 30% on a going forward basis. Cash flow from operations before changes in working capital was also a record at $294 million for the year. A significant increase from $14 million level in 2006 primarily due to the stirred up cooperation’s at Chapada, the acquisition of El Penon and Miner Florida. Comparatively for the quarter the amount was $28 million. We expect cash flow to continue to be robust which will facilitate our continued investments into our existing properties as well as our exploration projects. Last year we spent a total of $273 million of capital with a majority for enhancements at Jacobina, Gualcamayo and Chapada which will support our production targets. For this quarter the capital investments totaled a $136 million. Next year we are budgeting a total of $575 million for capital expenditures including exploration. Our exploration expenditures were $41 million last year and approximately $18 million for the fourth quarter. Next year in 2009 we have budgeted a $42 million per annum or $84 million annually if you include exploration CapEx. We are changing our policy for accounting for exploration expenditures as a result of standardizing accounting policies within the group to expand the portion of exploration expenditures. We expect to be fully funded for our capital expenditures supported by our solid cash flow and strong balance sheet which is represented by our healthy cash and short-term investments at approximately $330 million at year end compared to $70 million last year and with $630 million in debt from our credit facility, the current net debt position at the end of the year was approximately $300 million. For the Meridian purchase price allocation, of the total purchase price of $3.6 billion, approximately $1 billion has been allocated to depletable assets. Of this, $874 million has been allocated to El Penon and $101 million to Minera Florida. This has resulted in a depletion rate of $57 per ton of ore mined for El Penon and $17.50 for Minera Florida. Additional depreciation in Q4 relating to the Meridian acquisition was approximately $10 million and $5 million relating to Alumbrera and Northern Orion purchase price allocation. For the purchase of Northern Orion $256 million has been allocated to the investment in Alumbrera, a depletable asset. This asset has been depleted on a units of production basis -- based on concentrate produced relative to expected mine life concentrate production. It should also be noted that there were purchase price allocations relating to Alumbrera that had the effect of reducing the profit we reflected in the fourth quarter that are of a nonrecurring nature in the amount of approximately $6 million. Although equity earnings from Alumbrera for the quarter were $4 million, we actually received $19 million in dividends. Yamana’s total basic shares outstanding now totals 668 million or 732 million on a fully dilutive basis accounting for $49 million in warrants and $17 million in options. The significant increase when compared to the share count last year has been fully due to the shares issued for the Meridian and Northern Orion transactions. As you can see, this year has been a significant year with solid performance. With the transaction behind us, we expect to improve on our already solid financial and operating result as we execute against our strategy and guidance. We will complete the unhedged and leverage the precious metal prices. The strong 2007 results set an excellent foundation for 2008. A couple of key points for 2008. We plan to produce more than two times our 2007 attributable production and the average realized gold price in 2007 was $707 per ounce of gold and the current spot gold price is more than 20% higher than that level. Also the copper price has increased in Q1 2008 compared to Q4 2007, which alone could result in a positive adjustment of $30 million to receivable as at December 31, 2007 representing the $5.75 per share. Antenor Silva, Yamana’s President and Chief Operating Officer will now provide a brief overview of our operations. Antenor?
Antenor Silva: Thank you, Chuck. I will highlight some of the enhancements and expansions of our existing mines and products, but we also have Ludovico Costa, our Senior Vice President of Operations and Darcy Marud our Senior Vice President, Exploration will provide more detail on each development. At El Peñón, the expansions has been progressing well and we remain positive on the potential production upside. As a result we are confident that expected production can reach approximately 470,000 gold equivalent ounces in this year based on increased annualized production to 500,000 gold equivalent ounces in the fourth quarter. We have the potential to eventually further increase production to more than 600,000 gold equivalent ounces annually from 2010 on. This is well over current levels and more than our January gained production levels of approximately 425,000 gold equivalent ounces. As well last year we increased in mineral reserves at El Penon by more than 1 million ounces of gold. Darcy will speak more to you about our new exploration potential and results at El Penon. In mid April the Jacobina mine will be producing at full capacity of 6500 tons per day. We shut down the plant as planned during February and March this year for upgrades to the mills and the production at Jacobina is expected to increase quarter-over-quarter in 2008 as the mine ramp ups to 8500 tons per day by the year of the end of this year. We continue to be excited about Gualcamayo with the three main areas of mineralization QDD, AIM and QDD Lower west providing a significant mining opportunity. The combined production is planned to be approximately 300,000 ounces of sustainable gold per year beginning in late 2010 when production from QDD Lower West begins. Expansion has been going very well in Minera Florida and we expected to increase milling capacity to more than 2600 tons per day and we remain on tract for expected production to be approximately 125,000 to 135,000 ounces of gold equivalent by 2009. As you can see these development are helping Yamana toward our target of 2.2 million ounces of gold in 2012. Lastly in relation to Chapada there are three specific value driving initiatives currently ongoing. First we are continuing to advance our expansion plan to Durbo through both at Chapada. The second opportunity involves the potential recovery of copper and gold from the pyrite concentrated taken from the tailings of the present operation and the third opportunity involves the potential recovery of additional copper and gold through the processing of oxide material reserves. Now Ludovica Costa if you could provide additional comment on each project please.
Ludovica Costa: Yes, thanks Antenor. Yamana plans to process 20 million pounds of ore in 2009 at Chapada, increase approximately 32 million pounds of ore during 2010. This would result in increased total production in the first five years to approximately 930 million pounds of copper and 740,000 ounces of gold. Total average production from 2008 through 2015 would be approximately 192 million pounds of copper and 133,000 ounces of gold. Our complete expansion process expects to be complete by the end of the year which may increase and throughput expects to begin in 2009. The pyrite option at Chapada has the potential to add significant value with additional copper and gold recovery in the hedge for our joint venture for the productions to forecast, there are many benefits. A total of over 560,000 tons sulphuric acid would be produced. By treating 580,000 tons of concentrate about 10.6 million tons of sulphuric acid would be produced with an additional 320,000 ounces of gold and 94 million pounds of copper. Yamana continues to advance discussion with potential manufacturers and purchasers of sulphuric acid and expected it to complete an internal study by the end of 2008. The Chapada mine has an oxide material reserve of approximately 6 million tons of ore which would be processed through hedging using an additional 7 million pounds of Copper and 10,200 ounces of gold over an eight year mine life. Yamana continues to conduct metallurgical test to improve recovery and extract production of gold and copper from the oxide material by 2010. Beginning late 2010 total additional annual production from both the pyrite and the oxide material would be approximately 27,200 ounces of gold and 12 million pounds of copper for an initial six to eight year period. And additional revenues would come from a royalty on sulphuric acid or the sale of sulphur in the pyrite. And to now mention the other positive advancements at El Penon. This is in addition to the successful year we have had in exploration of this site. We have prepared a two phase expansion plan to see production increase to 500,000 gold equivalent ounces in 2008 and 600,000 in 2009 which is expected to be sustaining for the next ten years. The first phase includes a mining plant increased processing to 3500 tons per day in order to facilitate a higher production. This is expected to be in the fourth quarter of 2008 and in phase two plans for the end of 2009 with further improvements in development in processing, supported by the exploration activity in the North Block area. We expect to increase throughput of sustainable 5,000 tons per day. The preliminary life of the mining plans allows 500,000 gold equivalents in 2009 and over 600,000 gold equivalent ounces from 2010 on. The third we did take by independent engineering company in the second quarter of 2008 which we are confident in the schedule and production rates of the mine. Additionally, all the planned upgrades of equipment and development to achieve production improvements and efficiency are within existing capital expenditure guidance we have to date. Further as discussed there is a potential to further grow production at El Penon to greater than 650,000 gold equivalent ounces including ore from integration work from Amancaya During the first quarter Jacobina went through significant new upgrades to accommodate higher levels of production as well as a longer mine life. Although engineering construction continues, the mine will be producing at full capacity by the middle of April 6,500 tons per day and production is expected to increase quarter-over-quarter in 2008 as the mine ramps up to 8,500 tons per day by the year end. Plant capacity is expected to increase to 8,500 tons per day by a series of further improvements to the plant. After 8500 tons per day, production was projected at approximately 190 ounce of gold per year. Moving on to Gualcamayo. The benefits are imminent as we expect construction to begin this summer and construction to be completed in the third quarter. We are on track to begin mine development works at AIM satellite deposit in the second half of 2008 as we have announced previously with production targeted for the mid of 2009. And for QDD Lower West, we have received initial resources which Darcy will elaborate upon more shortly. Metallurgical test work has been completed and it shows as we have anticipated QDD Lower West can be integrate in the overall operations and wrapping up at Minera Florida we begin and continue to expand on our mine and new -- and their own plan to achieve our outlook. Our expansion was to put over 2600 tons per day. It will be by November 2008 allowing for the targeted annual production of 65,000 to 70,000 gold equivalent of this year and increasing to a 125,000 to 135,000 gold equivalent ounces next year and going forward. According to reserves and resources, the substantial replacement and growth of reserves achieved last year, in addition to the exploration potential of the property it justifies a study to evaluate further expansion to achieve a potential increase target production ramp up to a 180,000 gold equivalent ounce per year. We have many achievement this year but have much more to come as we continue to progress with our projects and developments. Darcy will be able to provide more detail on our exploration projects this year and to come.
Darcy Marud: Thanks Ludovico, good morning everyone. In exploration already this year we had a very exciting year particularly in the last several months. We have announced already this year a positive result received from the C1 Santa Luz feasibility study as well as the new resources that’s come in at El Penon where we added about 1 million ounces of new high grade gold, both of these are very encouraging developments. Yesterday in the news release we announced the resources commit at QDD Lower West at Gualcamayo. They are not resources estimates. Total measure and indicated resources using a 1 gram per ton gold cut off is over 375,000 ounces of gold at an average grade of just over 2.6 grams per ton. We use a higher and more meaningful cut off for underground mining of about 1.8 gram per ton gold and the MNI resource is still over 340,000 ounces gold at a grade approaching 3 grams per ton. Additionally there is over 225,000 ounces of gold that had been outlined in inferred resources using a 1.8 gram per ton cut off. The drilling that we’ve done today indicates that a dilational structure is still open down plunge and along strike, but the drilling that we are doing this year will continue and the drilling and the underground development we do this year will continue to test for the expansion of this zone and upgrade the inferred resources to a measured and indicated resource category. The current dimensions of the ore body are 300 meters of strike, 100 meters thickness and minimum down dip length of 160 meters. We believe that these dimensions aren’t expandable. Targeted production for QDD Lower West remains for 2010 which will then help drive production for Gualcamayo through approximately 300,000 ounces of gold per year. We expect an updated feasibility study by the end of 2008 that we use this additional drilling through 2007 and 2008. Today, I’m glad it also provides an update for Mercedes. In the fourth quarter of last year and to date we have been focusing mainly on the Mercedes vein zone. Since our October press release last year which is the last update of Mercedes we have announced a dilational 131 core holes have been completed at Mercedes and these totals approximately 35,000 meters of drilling. This brings the total number of holes completed to date at Mercedes to about 370 with over 83,000 meters of drilling of which 90% of that is core. The infield drill results have been very positive and they continue to confirm the presence of a zone of contiguous greater than 2 gram per tone gold equivalent mineralization. The presence of Bonanza gold and silver grades within the center of Corona de Ore shoot has also been confirmed as you can see in the press release. In field drilling became the focus late last year putting exploration at Klondike and elsewhere in the project temporarily on hold. However this exploration drilling will resume in the second quarter. We expect in the second quarter to continue to focus on both Mercedes and Klondike structural trends as well as other exploration targets on the claim block. Permitting is also under way for an exploration ramp which will facilitate the underground infield drilling and bulk sampling with and we expect those permits to be received in the short term. The resource estimate that we completed for both the Klondike and Mercedes zone showed approximately 740 ounces of gold equivalent at a 2 gram per tone cut off. 600,000 of these ounces came from the Mercedes zone at approximately 140,000 ounces from the Klondike zone. It is our view that based on the significant number of holes drilled to determine this resource we will be able to convert a significant portion of this from the inferred category to mentioned and indicated category when we complete a 43 101 document within the next several months. With these exceptional results we are on track to reach our ultimate goal of 2 million ounces of high quality reserves. I would add that these resources have been calculated using top cuts at the 99% tile and with tightened restrictions of high grade intersections. An underground program will confirm the high grade distribution that may give up sighted average grades of continuity of its high grade is established as we believe it will be. I also want to mention that the existing infrastructure at Mercedes is exceptional which is consistent with our strategy of maintaining low cost operations. To put the discovery of Mercedes and where we are at today into context I’d like to compare to El Peñón which is one of our most robust mines which was discovered recently in 1993. In 1998 we went to the board to get approval for a feasibility study which consisted of approximately 850,000 ounces of gold at 8 grams per tone when the gold price was only around $275 per ounce. Mercedes was discovered in 2006 and just two years later we are already showing approximately 750,000 ounces at grades of about 8 grams per tone gold in an environment of $1000 an ounce per tone gold. Our experience in El Peñón has allowed to advance Mercedes in just half the time that it took at El Peñón. While we are at El Peñón let me provide you with a brief update. Our expiration drilling is commences or recommenced last month. We currently have 130,000 meters of drilling plant for El Peñón this year primarily in the north block area as Ludovico referred to. This is the area where we have the high grade Bonanza vein discovered last year and where Al Este has been converted into predominantly a reserve. We are focusing on extending the Bonanza, Al Este and Esmeralda vein structures both the long strike and down depth as well as testing for new structures in this highly perspective area. We expect to provide exploration updates regularly during the year. Again this drilling started in February so we expect those updates should be coming in the second quarter. Encouraged by these discoveries, the exploration group here, Evandro remains eager to continue with our exploration developments during the year. We have $84 million dedicates to the exploration program further all of these exploration projects that we talked about. In addition to the feasibility study update from Gualcamayo that I’ve already mentioned you can also expect initial resource estimates for the La Pepa, Jeronimo, and Amancaya projects in the first half of 2008 and a feasibility study for Mercedes by the year end. With that, I will turn it back to Peter.
Peter Marrone: Thanks very much Darcy. And before I turn the call over to questions, I would like to say that with the transforming of 2007 we experienced and positive guidance we announced in January as we continue to deliver on our promises, post strong financial and operating results and updates, and focus on organic growth, I believe that Yamana share price will trade at levels that reflect the true value of the company’s strengths. Our offer of growth, sustainability and value, I continue to believe is truly exceptional. And so with that I would like to thank our shareholders for the continuing commitment and support to us this past year and I look forward to another successful year this year and the years to follow. And with that perhaps if I can open the call to questions.
Operator: Certainly. We will now take questions from the telephone lines. (Operator Instructions) Our first question is from Tony Lesiak. Please go ahead.
Tony Lesiak - UBS: Good morning. First question is on Chapada. I was hoping you could elaborate on the expansion and give us a production forecast year-by-year over the next three years and maybe also give us the total capital requirements you are looking at for that expansion.
Peter Marrone:
Antenor: Okay Tony, thanks for the question. The copper production in 2008 will be 162 million pounds; 2009, 165; 2010, 181 and the gold production will be 2008, 175,000 ounces; 2009, 163; and 2010, 148.
Silva: Okay Tony, thanks for the question. The copper production in 2008 will be 162 million pounds; 2009, 165; 2010, 181 and the gold production will be 2008, 175,000 ounces; 2009, 163; and 2010, 148.
Tony Lesiak - UBS: That’s very helpful. Now in terms of the CapEx again -- just going back to that, you said 230 for the expansion. I was just wondering does that include all sustaining as well over that period.
Antenor: Yes.
Silva: Yes.
Tony Lesiak - UBS: Okay. Perhaps you can give us an update as well on Gualcamayo in terms of how much commercial production you expect for this year. Obviously you have indicated that construction will be completed until sometime in the summer. I was hoping just for a further elaboration on that.
Peter Marrone: Tony, it’s difficult to say at this point what we would expect the commercial production to be because largely as you know it’s a function of when we achieve a sustainable level of production that meets our commercial production test. Chuck has spoken in the past about what our internal view is on what our commercial production standard is. At this point, you need to give us a little bit of time just to continue with the efforts on putting the mine into production. We are still -- in our view, we still believe it will be within that range of production expectations. We had guided that Gualcamayo would be producing about 85,000 to 95,000 ounces, we might be slightly below that for the year but we will make up for that in the year to follow. So you should expect in the range of 80,000 to 85,000 ounces this year with production to increase in the year to follow. Perhaps it might be useful Chuck just to talk about historically what we have used as a commercial production test.
Chuck Main: Right historically we have not put it in detailed rules and we use a rule of thumb of around 70% of design capacity over a 30 month period and we take various factors into consideration that assess the probability of being able to sustain that level of production. I think that when we look at that question for Chapada. Given the high quality of construction there we are able to demonstrate commercial production very quickly after starting the -- completing the construction and doing the commission in testing. We also should have a jump in respect to Gualcamayo in that we are starting to do lot of the mining before we actually start processing. So we are actually hoping that the period before -- between the end a construction and being able to declare commercial production is hopefully, relatively short but of course you can’t gage these things until you actually get there, but we wouldn’t expect that period to be more than two months and hopefully shorter.
Peter Marrone: As Ludovico mentioned Tony, we expect to start producing gold in the middle of the year and then with completion of construction to follow a few months after that. So it’s important to put that point in context, what Chuck just said and this is a mine that reaches gold relatively quickly and so we do anticipate that a significant portion, the warming majority of that production expectation this year will be commercial production, but we are not yet at the stage of being able to say how much of that would be commercial production next year. I am confident saying to you however that all of 2009 would be commercial production.
Tony Lesiak - UBS: Okay just a final question on some of the expanding feasibility work I guess we are expecting shortly. Perhaps you could just rank the projects for Le Papa, Amancaya, Jeronimo in terms of priority for you and I guess looking at trying to get them potentially into production.
Peter Marrone: Well our starting focus -- I will turn Antenor for a further view, but our starting focus will always be what we said on this call and what we’ve always said which is focused on core and core is where we have existing operations, so clearly a high priority is the throughput increase at Chapada. Another high priority is taking El Penon where we have these additional high grade discoveries that continue in exploration successes in taking it from the current production level to 500,000 ounces at the end of this year and then to 600,000 ounces, the year to follow. Amancaya will feed well into that and so the resources estimate, a -- an analysis of the economics of Amancaya will be important for those of you who are unaware Amancaya is knotted out, it would be that we would truck or to El Penon and process that toward El Penon which would increase the production level further from 600,000 ounces to 650,000 ounces. So, that first resource estimated Amancaya will be important and the metallurgical test work being done there will be important because it feeds well into what we are doing at El Penon. So those are the core things. Mercedes and the feasibility study of Mercedes will continue to be important because that will be a big contributor to our go forward production expectations and in terms of Le Papa and Jeronimo we are at the stage now of resource estimate, that’s the only stage that we add at this point. Antenor you may have a few too.
Antenor Silva: Okay if we can rank this project, first is Mercedes, the second is Amancaya that is only 120 kilometers far from Atheue. The third is Jeronimo. At Jeronimo we are performing now the Metallurgical test and the Detroit exploration and finally will be La Pepa.
Tony Lesiak - UBS: Right, thank you very much.
Peter Marrone: Tony if I can also say that part of the strategy of this Company has also been a portfolio approach and part of a portfolio approach is that it allows us to be able to see where we can maximize value by looking at where we are getting better results and so that’s the present thinking on the strategic view of how we prioritize the projects, but if we get some positive results on another project that allows us to accelerate that project we will take advantage of that as part of this portfolio approach to the company.
Operator: Thank you. The following question is from David Stein. Please go ahead.
David Stein – Sprott Securities:
Peter Marrone: Well, we are standing behind the guidance that we give in January at this point, but you are right. We used a copper price assumption of $3 per pound and applying copper as a byproduct credit with copper now trading in the range of $3.75 per pound, I mean clearly it would provide a further significant reduction to the production cost for each unit, for each ounce of gold that we produce, but as it stands at this point we continue to stand with the cost guidance that we previously provided. You are right that Gualcamayo will be a gold-only project and so the costs as they relate to Gualcamayo, as a stand alone project will not have any byproduct credits. Copper is almost a significant byproduct credit and that really drives that negative cash cost that you see if we stay sustained we have three selling part propound for the rest of the year. Then on the basis of a production expectation of about 155 million to 160 million tons of copper this year the buck product credit will be meaningful and it would reduce our cost guidance well below that negative $40 per ounce.
David Stein – Sprott Securities: Okay, I think maybe I wasn’t clear in my question. I think if I were to project your fourth quarter cost into 2008 and then take into account particularly Gualcamayo which is going to increase the average just because it’s a gold only project, it implies -- your guidance implies that you are expecting some cost savings at some of your other mines and I was looking at whether you can provide any detail on that.
Peter Marrone: Well, as a starting point I wouldn’t assume that the costs that we incurred in the fourth quarter of 2007 are the go forward costs for the rest of the year in 2008 and beyond. There will continue to be some cost improvements, but the cost structure at Chapada should improve as we increase the production -- to the total production level that we expect for the year so that per unit cost for copper production, for gold production over the course of the year would be less than what we saw in the fourth quarter of last year. Go ahead, Chuck.
Chuck Main : And I guess two other mines in particular, we are going to have an increase in production levels on a year-over-year basis is Jacobina and Sao Francisco. So I think to the extent that we are ramping up on a year-over-year production levels, I think that’s going to help our unit cost when you are looking at a relative comparison.
David Stein – Sprott Securities: Okay, yeah, that’s what kind of I was looking for. Thanks a lot.
Operator: Thank you. The following question is from Trevor Turnbull, please go ahead.
Trevor Turnbull - Scotia Capital: Yeah, good morning. I guess -- kind of following up on David’s question to a certain degree. Looking at the guidance for the first quarter, we see that you are going to be at about 220,000 ounces and we understand that the year is a bit backend loaded partly due to Gualcamayo and partly due to the shutdown at Jacobina in the first couple of months, but can you give us a sense of how incremental the increases are going through the year? Are we looking for a really big bump at the end of the year or is it incrementally a bit more each quarter?
Peter Marrone: Look I’ll turn it to Chuck for more specifics, but if you look at our guidance press release and I hope I have got the -- we got the question right there Trevor, but if you look at our guidance in January, we indicated that quarter-over-quarter, there would be changes in the cost structure and I'm trying to find exactly where it is. I think it’s on the third page and you see that what we said in that press release is that not including by-product credits, we expected the gold equivalent cash cost to be about 325 to 335 in the first quarter and decreasing to 285 to 295, then 270 to 280, and then finally in the fourth quarter 265 to 275.
Trevor Turnbull - Scotia Capital: Yeah, sorry Peter. I wasn’t referring to the cost. I meant to say the -- the gold production itself.
Peter Marrone: Okay, sorry about that. So in terms of gold production expectations, Antenor, why don’t you speak to where we see the increase?
Antenor Silva: Okay. Regarding the first quarter in 2008 Trevor you must -- you know that this quarter is the raining period in all South America and our operations, the open pit operations and mainly the [inaudible] operation are in -- better than in this period. We are improving now with the end of the rainy season, we are improving production in Chapada, Sao Francisco, in Central America -- we are in a construction period now. We are with a new pad in Central America. It means that we improve quarter-by-quarter in all the production.
Trevor Turnbull - Scotia Capital: Okay. And speaking of -- well, I have got you there Antenor, thinking about the expansions that are coming in the subsequent years at El Penon. Obviously Darcy has done a great job on the exploration; we see the resource and reserves increasing there. We know there is no capacity coming but can you give us a sense of how complicated things get underground? I know you have several veins at work but give us a sense of how the number of working phases you are going to have to increase at El Penon from where we are today to where you would be say in 2010 at 600,000 ounces a year.
Antenor Silva: Okay. You can look that we are -- we mine several veins, it’s not the only one vein and we will have several access or we are preparing now a new access for Bonanza that we will be in that and that of the present mining assets and these LOR’s -- the reality to have two mines in operation, are two different mines and this is the plan for Peñón.
Trevor Turnbull - Scotia Capital: Okay. So I realize that there is additional access going in. Do you have a sense of how many of the type of working phases and obviously we assume it’s going to be increasing substantially.
Chuck Main:
Trevor Turnbull - Scotia Capital: Okay, a year and a half ahead on development. Then switching gears I just have one last question maybe Chuck can comment on, something on the balance sheet. Post acquisition it looks like the future income tax liabilities have increased substantially and I just wondered if Chuck could speak a little bit to that.
Chuck Main: Yeah, the jump in the FIT is totally related to the acquisitions and it comes about by basically accruing future income taxes on the fair market value bump. The difference between the value that we assign at the market value compared to the book value that was existing on the books at that time of acquisition, so it kind of reverses itself over the total mine life and the jump is because of the acquisitions.
Trevor Turnbull - Scotia Capital: So that liability will shrink over the mine life and how does that get offset on the asset side then?
Chuck Main: Your basically going to reduce the liability in the other side as to the income statement.
Trevor Turnbull - Scotia Capital: Okay. That’s all I’ve got in for now.
Operator: Thank you. The following question is from Anita Soni. Please go ahead.
Anita Soni - Credit Suisse: Hi, good morning Peter. A question with regards to the guidance that you guys put out. The 470,000 ounces at gold equivalent at Amancaya and El Peñón, that’s not baked into your guidance yet, but that’s same 425 to 435 is that correct?
Peter Marrone: That’s correct. We increased our guidance yesterday to 470 for 2008. Yeah, that’s correct, for 2008.
Anita Soni - Credit Suisse: Okay, I am just looking at the NDNA that was put out yesterday as well. That still reflects 425 to 435.
Peter Marrone: Yeah, in the press release what we indicated was that because we are increasing -- your right Anita. We declared out of the point. Because we are increasing our production level by the end of this year, by the fourth quarter to 500,000 ounces that would increase the total production for the year from the 425 to 435 which we guided in January to 470,000 ounces for 2008.
Anita Soni - Credit Suisse: And a similar question with regard to the Chapada expansion. I believe Ludovico said 163,000 ounces in 2009 post expansion and currently we are seeing 175 to 180 is that what we should be using as the new guidance for 2009?
Peter Marrone: We were in error in saying 163. We guided in 2009, 175 to 180 and that was the number. This is just an error in what was said in the presentation earlier. So the guidance that we gave in January of 175 to 180 continues to be the guidance at this time.
Anita Soni - Credit Suisse: Okay and just could you elaborate a little bit more on…
Peter Marrone: Anita if I can explain, what Antenor was referring to was the Copper guidance which was 160 million to 165 million pounds when you referred to the 163,000, that’s 163 million pounds and the production expectation for 2009 is 175 to 180.
Anita Soni - Credit Suisse: And 148 in 2010 or so. That’s what he…
Peter Marrone: What was the number that we gave for 2010 for gold?
Chuck Main: 181.
Peter Marrone: No, that’s copper.
Chuck Main: 148.
Peter Marrone: 148, approximately 148,000 ounces on gold and about 180 million pounds on copper. That would be the year in which the full doubling of the throughput takes effect.
Anita Soni - Credit Suisse: Okay, and just a question on Sao Francisco cost, they are a bit -- actually pretty significantly in the fourth quarter. Could you elaborate a little bit more on that? I know it was lower grade and some issues with accessing higher grade ore with the rainy season but just going forward, how -- what kind of cost you would be expecting from Sao Francisco?
Peter Marrone: Turn to Ludovico on that.
Ludovico Costa: Yes Anita, during the last quarter of the year, as Antenor mentioned, we had a very heavy rainy period and that we had to divert the mine to the north area and we had to reduce the grades of the ore during the quarter. We expect as we said before to reach the -- of course the area by the mid of the year, this year 2008, but the main reason for reducing the production during the last quarter was that -- and the heavy rainy period as well. The overall terms we are having a higher mining factored in than was in the block model, but in the last month it was a little bit lower because the mine is a different area.
Anita Soni - Credit Suisse: And did that go into the first quarter as well of this year, the rainy season and the impact that that had?
Ludovico Costa: Yes, until this month in March. We are seeing all the finish of the rainy season right now.
Anita Soni - Credit Suisse: That would be another area where you would be looking for slightly lower production for the first quarter then and ramping up towards the end of the year, right?
Peter Marrone: At Sao Francisco, correct.
Anita Soni - Credit Suisse: Okay, I think that’s it for my question. Oh, actually one more question on hedging. Jacobina costs are creeping up there and 7% was responsible -- due to the appreciation -- 7% of the Brazilian Real. Any hedging plans in place there?
Peter Marrone: We have hedged about 85% of our Real denominated costs at Jacobina at just a little over 2.3 Real to the dollar and that hedge continues to be in place for this year and for next year.
Chuck Main: And we are continuing -- on a going forward basis, we are continuing to monitor the currency situation. Obviously we are seeing a lot of volatility out there in the exchange rates and we are continuing to monitor to make a decision whether to stay pad or whether to do some more.
Peter Marrone: We really get the benefit of that hedge though Anita when Jacobina is in full production. As you know it was a partial production period for last quarter. It will be partial production for this quarter as Antenor and Ludovico mentioned. We had a planned shutdown of the mill so that we can do refurbishment and allow it to continue for longer life and allow us to be able to take advantage of that increase in throughput to 6,500 tons per day and then 8,500 per day by the end of the year. So that hedge really starts to have an impact on the cost structure of Jacobina as we ramp up production and so you will see an improvement quarter-over-quarter in the cash cost at Jacobina even with the Real as strong as it is to the dollar today as we ramp up production into Q2, Q3, and Q4.
Anita Soni - Credit Suisse: Okay that’s it for my question. Thank you.
Operator: Thank you the following question is from Brian Christie. Please go ahead.
Brian Christie - National Bank Financial: Good morning guys few quick ones here. Peter I am wondering if you can give us a break down of the 2008 CapEx. We know what the exploration is but kind of a balance. Just curious on the restricted cash on the balance sheet what that is associated with, wondering to -- and the reserve increase may be you guys can give us an estimate of how much from exploration? How much from a gold price move and how much on the acquisition and then your goodwill guidance from the Q3 report, is that still pretty representative?
Peter Marrone: Hope we took down all four of the questions. Let me start with the CapEx breakdown. We are just getting a precise breakdown Brian for your benefit of the $575 million about $84 million of that is as we mentioned is the exploration budget for the year and while we get that, what were your second, third and fourth questions?
Brian Christie - National Bank Financial : The restricted cash on the balance sheet Peter just wondered what that represented. Then on the reserves wondering if you guys can give us a sense of how much from exploration, how much from a gold price move on your reserves and then how much of that increase was from the acquisition and then just is your guidance from the Q3 report on goodwill still valid?
Peter Marrone: Why don’t we start with the restricted cash flow?
Chuck Main: Yeah, the restricted cash it’s principally relating to cash put aside in order to support mine reclamation activities that are ongoing and existed within --
Brian Christie - National Bank Financial : Okay, but if you won’t be able to [inaudible].
Darcy Marud: Brian this is Darcy. I am just looking at it. May be the best thing I can do is send you something Brian offline because….
Brian Christie - National Bank Financial: That’s fine.
Darcy Marud: To break it up in those category that won’t have those numbers in front of me. What I can tell you is the PNP though year-over-year without adding up our rig is up about 33%, there is going to be some increase there to gold price but there is several projects San Andres and Gualcamayo that account for a lot of that and that’s increased from resource under reserve.
Brian Christie - National Bank Financial: Okay, no you can send that. That will be great.
Darcy Marud: Yeah, I will break it out properly for you.
Brian Christie - National Bank Financial : Great, thanks Darcy.
Darcy Marud: You are welcome Brian.
Peter Marrone: The goodwill guidance of Q3.
Chuck Main: The goodwill that we have it on the balance sheet
Brian Christie - National Bank Financial : You give a breakdown on your Q3 report Chuck, I just wonder is that still fairly represented it.
Chuck Main: Yes
Brian Christie - National Bank Financial: Okay thank you.
Antenor Silva: Brian regarding the CapEx we have more or less the following. Feasibility study and technical studies is around $30 million.
Brian Christie - National Bank Financial : Okay
Antenor Silva: For mine developments and this is mainly Jacobina and El Panon is $70 million. For construction regarding some of the same key -- Gualcamayo and also in Minera Florida, the conclusion of Minera Florida we are in the range of $200 million.
Brian Christie - National Bank Financial : Okay
Antenor Silva: And in addition we have the small developments in Chapada, San Andres. It will be in the range of $20 million.
Brian Christie - National Bank Financial : Okay great thanks guys.
Peter Marrone: Just to clarify as well for the benefit of the people on the call, in the press release, when we referred to the processing of the oxide material at Chapada, the extra expectation of $30 million, that is new. We had always indicated that that oxide material is there, but it has reevaluated the pyrite opportunity at Chapada that we looked at the merits of bringing it together with the oxide material. Last October we talked about the possibility of processing the oxide material, the $30 million that we are assuming as the capital cost for processing the oxide material is not included in that $575 million.
Operator: Thank you. The following question is from Steven Butler, please go ahead.
Steven Butler - Canaccord Adams: Good morning guys. So Peter, just to clarify then the $575 million is capital for this year; I'm a bit surprised that there is not a bigger number for Chapada.
Antenor Silva: Steve this is mainly -- this year in Chapada, we are doing researches and we are completing the feasibility study by the year end.
Peter Marrone: We are assuming approximately $24 million at Chapada this year. Most of the remainder of that $230 million, $240 million or so Steve comes in 2009 and 2010. So we have $100 million in 2009 and $107 million in 2010.
Steven Butler - Canaccord Adams: Okay, very good.
Chuck Main: And with an increase of 10% throughput this year than we could do that at fairly minor capital.
Steven Butler - Canaccord Adams: Right. And then, just in the guidance that you guys said, coming back to Anita’s question, it’s about Chapada being -- in 2009 being 175,000 to 180,000 ounces of gold that year. Was that already inclusive of the intended throughput expansion at Chapada?
Peter Marrone: No, that is a new plan. That is was not inclusive of that.
Steven Butler - Canaccord Adams: That guidance in January was not inclusive of the expansion?
Peter Marrone: That was based on the existing status quo at Chapada. So that number may increase as we increase the throughput. What we have said is in 2009 we plan to be processing roughly 20 million tons but we are now at the point of evaluating at what point in 2009 and how that will increase our production.
Steven Butler - Canaccord Adams: Okay. And a bit surprised -- and again maybe it’s not yet in the reserves there. I think when we were down there guys on the tour in November or December, where you have alluded to the Chapada expansion and what the potential that it obviously makes some sense because the great profile does eventually decline and that’s fine but also there is the potential for reserve additions that come in and I assume that they have not yet come in Chapada if we look at the reserve base. So is there a potential for reserves to change at Chapada as you complete the analysis and study this year?
Peter Marrone: Yes, there is a potential for that as we complete the analysis and you hit the nail right on the head. The expansion plan will not meaningfully change the production platform in the early years but it will more meaningfully change the production platform in the later years. Chapada was always intended to be a 17 year plus two year pre strips, so a total of 19 year mine life with a high grade start of it in the first five years and if you look at the initial feasibility study, we would be recovering about one-third of our copper and half of the gold in the first five years. And so as the high grade start of it in the first five years and there was always -- we had always said that Chapada’s grade then falls off after that and the production platform for copper and gold would fall of in the latter years and particularly on the backend five years at the mine life for Chapada. What this throughput expansion does is it actually improves the recovery of gold and copper and improves the production of gold and copper in the latter years rather than in the earlier years. Modest increases in the earlier years but significantly more increases in the latter years.
Steven Butler - Canaccord Adams: Right.
Chuck Main: I think another interesting opportunity tools we have run fairly conservative prices in turning the reserves generally 555, 575 and in this type of price environment its going to cause over time -- should cause opportunities for reserve expansion based on middle prices.
Steven Butler - Canaccord Adams: Hi guys you are alluded to -- want to be alluded to the economies of scale potential for the higher throughput from say 32 versus let’s say it’s a doubling effect Peter. Is there any estimate as to cost per ton savings and I assume processing per ton would be the biggest impact of potential and G&A, any indications there?
Peter Marrone: Not yet, now we are preparing this plan.
Steven Butler - Canaccord Adams: Okay, last question for you Chuck just to clarify I think you said effectively we should be assuming about $57 ton of incremental depreciation at El Penon and $17.5 or $18 to turn up Minera Florida.
Chuck Main: That’s correct.
Steven Butler - Canaccord Adams: And that was we already accounted for in your depreciation numbers for that period that you owned at in the fourth quarter.
Chuck Main: That’s correct.
Steven Butler - Canaccord Adams: Okay thanks very much.
Peter Marrone: Stephen one of the people that we spoke with this morning made an observation that I think is important here too. You are aware that one of our peer group has a mine in Brazil that has gone through an expansion. I believe now at 54 million tons of throughput per year. That mine is the low -- if I understand correctly the lowest grade open pit deposit in the world at above 0.4 grams per ton and it’s 0.43 grams per ton, 0.38 grams per ton, sorry. So it’s important to highlight that if we look at this expansion at Chapada taking at the 32 million tons of throughput per year, it’s not only highly achievable and when we are within the bound of reasonableness its well below the 54 million tons of this peer group mine that you are familiar with, but in addition to that the gold equivalent rate if we take copper as a gold equivalent is about 30% higher, so this is a very, very robust project standalone and with this throughput increase it becomes one of the more robust projects in Brazil.
Steven Butler - Canaccord Adams: Alright thank you.
Operator: Thank you. The following question is from Don Mclean. Please go ahead.
Don Mclean – Paradigm Capital: Good morning guys, I guess this is afternoon now. A few questions; one I guess we have danced around it a bit, but the 2008 guidance, could we get a little more specific as to the cash costs we might expect from Chapada, El Penon and then on Alumbrera with also if we could get some production guidance on Alumbrera? 
Peter Marrone: In terms of a -- you are asking on a mine by mine basis?
Don Mclean – Paradigm Capital: Well just the top three Peter.
Peter Marrone: What we said of Chapada and the guidance that we previously provided was $225 to $250 per ounce or on a by product basis about $1000 negative to $1900 per ounce applying copper as a by product.
Don Mclean – Paradigm Capital: Okay, thank you.
Peter Marrone: That’s with respect to that. We said it with respect to El Penon, they are expecting cash costs in the range of $240 to $275 per ounce and Gualcamayo would indicate it, I think Gualcamayo was the third of the three you mentioned.
Don Mclean – Paradigm Capital: Alumbrera.
Peter Marrone: So, Alumbrera, I don’t know what we can say about Alumbrera at this point as, we have the 12.5% positive interest in Alumbrera. So I don’t know what the guidance would be there. We will rely on the operator there to help us through that.
Don Mclean – Paradigm Capital: Okay fair enough.
Peter Marrone: Let me mention though that in terms of the mines that we do own and what we have guided and what we continue to stand behind and as you appreciate these are few in events. We are in a world of escalating costs but also escalating commodity prices and we are also in a world where currencies do have an impact but as it relates to Gualcamayo we would say that we would be approximately $290 per ounce when we are in full production of 200,000 ounces. It will be slightly higher than that into 2009 and then will decrease in 2010 and with respect to Jacobina -- and this goes back to a question that I think Anita raised as well with respect to Jacobina -- once it is in full production and with that hedge in place we are expecting cash cost in the range of about $330 pre ounce.
Don Mclean – Paradigm Capital: Great. Okay, thanks Peter. A couple of other questions specific to the El Penon silver production in Q4 and I guess Chuck a couple of questions for you maybe while you look for the El Penon silver, the G&A I think you mentioned going forward, was it at $60 million to $70 million a year? Is that the correct number?
Peter Marrone: Yes.
Don Mclean – Paradigm Capital: Okay, I just wanted to confirm that and then I guess the last ones that are -- a couple of questions about the depreciation, amortization and I know we are pealing an onion a bit here, so I don’t want to get down too many layers and we’ll all start crying but what would be an annualized DD&A figure in millions of dollars we might look for as a sort of bandwidth?
Chuck Main: On a consolidated basis? Yeah, I have to work that consolidated number. Why don’t we get that to you there?
Don Mclean – Paradigm Capital: Okay. Maybe we can just talk a little philosophically about it because it may be I’m missing the point on it. I think Chuck you were saying that you have allocated depreciable levels of -- it looks like they total about $1.2 billion on a $4.8 billion transaction. Is that correct?
Chuck Main: Yeah.
Don Mclean – Paradigm Capital: What happened to the other $3.6 billion?
Chuck Main: It basically goes into obviously non-depreciable properties principally relating to exploration potential, potential for increasing of reserves and resources.
Don Mclean – Paradigm Capital: So the latter was to be quite a large number for the existing resources -- for the existing mine production base.
Chuck Main: Correct.
Don Mclean – Paradigm Capital: Okay. I think we have cut enough layers. I won't make a good chef, I'm already crying.
Peter Marrone: You asked for the El Penon silver production for the fourth quarter and that’s about 2 million ounces of silver in the fourth quarter. I want to highlight that while we talk about gold equivalent in 2008 and 2009, it’s also important to say that by gold equivalent roughly 10.5 million ounces comes from sliver and I hope I can modestly say that when we purchased Meridian last year, you had heard us say that we believe that silver would outperform gold and it actually has outperformed gold since the announcement of that purchase and while we turn to gold equivalent it is important to say that we have a very large silver production in this Company that if we treat it as gold equivalent 10.5 million ounces is a significant amount of silver production in this company.
Don Mclean – Paradigm Capital: A silver lining indeed. Okay, thank you.
Chuck Main: And just before you go, we’ve done a little calculation of that depreciation and over the year the purchase price allocation will be subject to change but based on the information we had now, the consolidated depreciation and amortization should be running around the $270 million level.
Don Mclean – Paradigm Capital: $270 million, okay, thanks a lot, Chuck.
Chuck Main: Okay.
Operator: Thank you. The last question for today is from Mark Smith. Please go ahead.
Mark Smith: Yeah, hi gentlemen. Just a quick question about the 200 million Real you have left in the currency hedge at year end. Is that all allocated towards Jacobina or is that a corporate hedge that you can allocate towards any Brazilian project?
Peter Marrone: It’s mine by mine for hedging purposes. A portion of it is allocated to San Francisco as well. Chuck, perhaps you can explain how much of that is at San Francisco.
Chuck Main: Basically the Jacobina hedge went on first and it was meant to cover 80% of Real’s exposure on Jacobina and at San Francisco it was 25% to 30% of the Real’s exposure.
Mark Smith: Okay and they both go through to sort of mid 2009.
Chuck Main: Yes, in 2010.
Peter Marrone: Mid 2010. It’s a full 2008, 2009 and part of 2010.
Mark Smith: Okay, so mid 2010 but it basically just goes to mine so putting in for Chapada would be incorrect.
Chuck Main: That’s correct
Mark Smith: Alright and they are both at 2.3 or is Jacobina one a little bit higher and.
Peter Marrone: That’s the same level. It’s just a little over 2.3. I think its 2.31 Real to the dollar.
Mark Smith: Alright, thank you very much
Peter Marrone: Thanks Mark.
Operator: Thank you. This concludes today’s question-and-answer session. I would now like turn the meeting back over to Mr. Marrone.
Peter Marrone: Ladies and gentleman thank you very much and for the participation in the questions. As I indicate at the beginning of this, hopefully part of the message that we are imparting to you is that we continue to execute on that strategic plan. This is about financial performance; it is also about growth in production in underground resources and growth in our financial performance, cash flow and earnings. The last quarter of last year was -- I described as a transformational period. We created a Company that had significantly more assets in different parts of the America’s, parts of America’s that we wanted to be in. 2008 is the unveiling of that transformation and what that does in terms of our performance. With the robust commodity prices that we have, the containment of costs that I described, I’m very confident saying to you that quarter-over-quarter we will continue to deliver on that promise of increase in production, increase in cash flow and increase in earnings and then year-over-year the same thing. So, with that, thank you very much for your participation.
Operator: Thank you, gentleman. This concludes today’s conference call. Please disconnect your lines and thank you for your participation.